Operator: Ladies and gentlemen, thank you for standing by. Welcome to the MetLife Second Quarter Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Before we get started, I would like to read the following statement on behalf of MetLife. Except with respect to historical information, statements made in this conference call constitute forward-looking statements within the meaning of federal securities laws, including statements relating to trends in the company's operations and financial results and the business and products of the company and its subsidiaries. MetLife's actual results may differ materially from the results anticipated in the forward-looking statements as a result of risks and uncertainties, including those described from time to time in MetLife's filings with the U.S. Securities and Exchange Commission. MetLife specifically disclaims any obligation to update or revise any forward-looking statement whether as a result of new information, future developments or otherwise. With that, I would like to turn the call over to John McCallion, Head of Investor Relations. Please go ahead, sir.
John McCallion: All right. Thank you, Brad, and good morning, everyone. Welcome to MetLife's Second Quarter 2012 Earnings Call. We will be discussing certain financial measures not based on generally accepted accounting principles, so-called non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures may be found on the Investor Relations portion of metlife.com in our earnings press release, our quarterly financial supplements and in the Other Financial Information section. A reconciliation of forward-looking information to the most directly comparable GAAP measure is not accessible because MetLife believes it's not possible to provide a reliable forecast of net investment and net derivative gains and losses, which can fluctuate from period-to-period and may have a significant impact on GAAP net income. Now joining me this morning on the call are Steve Kandarian, Chairman, President and Chief Executive Officer; Eric Steigerwalt, Interim Chief Financial Officer. After their prepared remarks, we will take your questions. Also here with us today to participate in the discussion are other members of management, including Bill Wheeler, President of Americas; Steve Goulart, Chief Investment Officer; Michel Khalaf, President of EMEA; and Bill Hogan, Executive Vice President and Head of our Japan operations. With that, I would like to turn the call over to Steve.
Steven A. Kandarian: Thank you, John, and good morning, everyone. MetLife continued to perform well in the second quarter, particularly in light of the current environment. We delivered operating earnings of $1.4 billion, or $1.33 per share, up 18% year-over-year. Book value per share, excluding AOCI, rose to $48.60, a 12% gain year-over-year. MetLife's story in the second quarter is one of sound execution on the fundamentals. Our underwriting results remain solid with strong performance in dental and improving results in disability. MetLife's commitment to underwriting discipline demonstrates that we will not chase sales at the expense of margins, which has proved over time to be a competitive strength. Consistent with our strategy of balancing growth and risk, we have reduced variable annuity sales in the quarter by 34% year-over-year and by 6% sequentially. Emerging market growth, another strategic priority, was very strong in Latin America with earnings up 5% on a reported basis and by 19% on a constant currency basis. Perhaps no area better reflects the disciplined approach we take to the business than our actions to manage interest rate exposure. As you know, we provided extensive disclosure about our interest rate risk in conjunction with the third quarter 2011 earnings call. Interest rates have come down further since then. And we have done additional analysis on the impact to MetLife's earnings. I would like to share those results with you today. The interest rate scenario we discussed last fall assumed a rate curve with a 10-year Treasury rate held flat at 2% for 5 years. We reran that scenario using a more recent yield curve with a 10-year Treasury at a record low 1.4%. The result was essentially no incremental impact on MetLife's earning per share for 2012 and 2013 and only roughly $0.05 per share in 2014. We also examined the impact of the low interest rate environment on MetLife's return on equity. At our Investor Day in May, we said we expected to have an ROE of 12% to 14% by 2016. Even if the 10-year Treasury rate were to remain at 1.4% through the end of 2016, we would expect to hit the lower end of that range, adding roughly 100 basis points of ROE from this year's expected level despite the low interest rate environment. The impact of low interest rates on MetLife's earnings is more benign than many suspect for 2 main reasons. First, we still have room to adjust credit rates on a number of our products in response to changes in interest rates. And second, our hedging program has been highly effective. We made a forward-looking call in 2004 to start buying low rate protection when the 10-year Treasury was trading above 4%. We are reaping the benefits today, and we will continue to do so for a number of years to come. Now let me discuss a few regulatory issues facing MetLife. With regard to debanking, regulatory approval for the sale of the depository business of MetLife Bank to GE Capital needs to be obtained from the FDIC. And the application for sale is pending with them. I know that investors are eager for resolution of this issue, but the timing is outside of MetLife's control. As I said last quarter, I'm not going to speculate as to when the FDIC will take final action. As soon as we have something to report, we will. Until then, we are not responding to questions about the status of the FDIC process. Looking ahead, a central regulatory issue for MetLife is whether we'll be named a nonbank systemically important financial institution and what the new prudential standards for nonbank SIFIs will look like. The Financial Stability Oversight Council has begun designating nonbank SIFIs. On July 18, FSOC applied the designation to 8 financial clearinghouses. As we have said many times, we do not believe regulated insurance activities pose systemic risk to the U.S. financial system. In the event that certain insurance companies are named SIFIs, the impact is a matter of public debate with some policy analysts focusing on the benefits and others focusing on the costs. My view is that the impact will depend on how the final prudential rules are written. So far, Federal Reserve officials have signaled their intention to adapt the rules to the unique circumstances of nonbank financial firms. In recent congressional testimony, Fed officials have said the bank-centric capital rules would likely be a bad fit for insurance companies. There is a recognition that insurance companies have different asset and liability structures than banks and that the appropriate regulation needs to take that into account. Now let me provide an update on recent M&A activity. As I've said previously, we take a portfolio view of our business, investing in markets we consider core and divesting from those that do not meet our strategic priorities or financial requirements. Earlier this week, we closed on the sale of a significant portion of our Caribbean and Central American operations to Pan-American Life Insurance Group, which was initially announced last November. Also this week, we closed on the acquisition of Aviva plc's life insurance operations in the Czech Republic, Hungary and Romania, which expands MetLife's presence in growth markets in Eastern Europe. Our views on M&A remain consistent. Any transaction we pursue must compare favorably to alternative uses of capital. Before I hand the call over to Eric, I also want to take a moment to highlight the completion of the senior executive team here at MetLife. Yesterday, Chris Townsend started as our President for Asia based in Hong Kong. Chris comes to us from Chartis, where he served as CEO of their Asia Pacific region with 4,700 employees in 15 countries. Chris has a strong background in the area of capital management and portfolio optimization, as well as the direct-to-consumer business, which is an important part of our Asia operations. And right after Labor Day, John Hele will be starting as MetLife's new CFO. John is a highly qualified Chief Financial Officer with over 30 years of broad experience in the financial services industry. He comes to us from Arch Capital Group, where he was Chief Financial Officer and Treasurer. Previously, he was Chief Financial Officer of ING Group, one of the largest financial services companies in the world. Earlier in his career, John spent 11 years with Merrill Lynch in investment banking, marketing and finance positions. Finally, I want to thank Eric Steigerwalt who has done an excellent job as Interim CFO. Upon the arrival of John Hele, Eric will devote himself full time to leading our Retail business and reporting to Bill Wheeler, President of the Americas division. With that, I will hand the call over to Eric.
Eric T. Steigerwalt: Thanks, Steve, and good morning, everyone. MetLife reported operating earnings of $1.4 billion, or $1.33 per share, for the second quarter. This quarter's results included a few significant items, which I will discuss shortly, that benefited operating earnings by $0.02 per share. Overall, our strong results continue to demonstrate the resiliency of our businesses and our focus on pricing, underwriting and expense discipline across all of our regions. Interest margins were favorable due to strong variable investment income, which was significantly above our planned range and higher recurring net investment income. As we have stated in prior calls, we have been able to maintain strong spreads despite this low rate environment due to our ALM discipline, private origination capabilities and the effectiveness of our hedging programs. In addition, we continue to manage crediting rates prudently and have additional capacity to lower rates on our interest-rate-sensitive products. In the Americas, we saw favorable underwriting results in Non-Medical Health and had significant improvement in property/casualty as compared to the record catastrophes in the prior year quarter. We also had solid results in Latin America, particularly in Mexico and Argentina. In addition, expenses remained very much under control. Our overall expense ratio was 24.1% on a reported basis in the quarter and 23.2% when adjusting for pension and postretirement benefits. Now I'll walk you through our financial results and point out some of the highlights. First, let me discuss some significant items included in the second quarter results. Pretax variable investment income was $371 million. After taxes and the impact of deferred acquisition costs, variable investment income was $242 million, or $0.07 per share, above the top of our 2012 guidance range. This performance was primarily driven by strong private equity returns. I should remind you that we report our private equity funds on a one-quarter lag, therefore, we would expect that returns in our private equity portfolio in the third quarter will be impacted by market performance in the second quarter. In the Americas, our property & casualty business incurred catastrophe losses of $94 million after tax, which was $44 million after tax, or $0.04 per share, above our second quarter plan provision of $50 million after tax. These higher-than-expected catastrophes were partially offset by a favorable non-cat prior year development reserve release, primarily in our auto business, of $25 million after tax, or $0.02 per share. In our Asia region, operating earnings were negatively impacted by $17 million, or $0.02 per share, due to a DAC model refinement in Japan. In our EMEA region, operating earnings benefited from a $12 million after-tax, or $0.01 per share, release of negative VOBA in Greece as customers have shifted away from interest-sensitive pension products to products with more liquidity. And finally, our Corporate & Other segment had 2 individual items, which each negatively impacted earnings by a little over $0.01 per share. These items relate to expenses from our efficiency initiative and our Japan JV run-off book of business. Now let's take a look at the results in the quarter by region. For the Americas, reported operating earnings were $1.1 billion for the second quarter, up 11% versus the prior year quarter. The primary drivers for this earnings growth were in our Retail and Group, Voluntary and Worksite Benefits segments. The Retail segment reported operating earnings of $380 million for the second quarter, up 14% as compared to the prior year quarter, driven primarily by the annuity segment. Operating earnings for annuities were $226 million in the quarter, up 25% year-over-year as the business continues to enjoy strong core spreads, higher fee income due to separate account asset growth and lower expenses, partially offset by market true-ups in the quarter. Deferred annuity spreads, as reflected in our quarterly financial supplement, were 301 basis points in the quarter, down modestly from the record spreads in the first quarter but up 44 basis points year-over-year. This improvement was due mainly to higher derivative income, primarily from interest rate floors, as well as lower crediting rates. Our Group, Voluntary and Worksite segment reported operating earnings of $295 million for the quarter, up 29% versus the prior year quarter, driven by the Non-Medical Health and property/casualty businesses. Non-Medical Health reported operating earnings of $133 million in the quarter, up 22% year-over-year, mainly on improved underwriting earnings across the product set. The Non-Medical Health benefit ratio for the quarter was 86.1%, a 140-basis-point improvement in the ratios compared to the prior year quarter of 87.5% and well within our expectations. In dental, our underwriting trends remain favorable as a result of stable utilization combined with our disciplined pricing strategy. Also, disability results improved due to a lower LTD incidence rate compared to the prior year quarter and plan. However, recoveries, while better than the prior year, continued to remain below plan in the second quarter. Property & casualty operating earnings were $44 million in the quarter, up $100 million versus the prior year quarter, primarily due to lower catastrophes as compared to the record prior year levels. That said, pretax catastrophe losses of $144 million were above our plan. The combined ratio for property & casualty was 102.3%, or 83.4% excluding catastrophes in the quarter. This result was significantly better than the combined ratio of 121.7%, or 85.9% excluding cats in the second quarter of 2011. Latin America operating earnings were $135 million, up 5% year-over-year. On a constant rate basis, operating earnings were up 19% due to business growth across the region, operating synergies and higher investment yields. Also, underwriting results were favorable to plan, primarily in Mexico. We expect underwriting in Latin America to continue to be favorable for the balance of the year. Mortality results in the U.S. were modestly unfavorable in the quarter compared to the prior year quarter. Group life's loss ratio for the quarter was 87.3%, higher than the very strong prior year quarter of 82.1% but right within our expectations. Retail life's mortality ratio was 85.6% in the quarter, higher than the prior year quarter of 84.4%. However, reinsurance recoveries were better in the quarter, resulting in an improvement of overall underwriting results year-over-year. Premiums, fees and other revenues for the Americas were $8.4 billion, down 1% from the prior year quarter. Higher separate account fees and retail annuities, solid dental premiums in Non-Medical Health were offset by lower pension closeouts. In Non-Medical Health, results this quarter reflect nearly $100 million of premiums from the TRICARE Dental contract, which became effective May 1. Also, in Latin America, while revenues were up 1% year-over-year, they were up 13% on a constant rate basis, driven by growth in accident and health and strong immediate annuity sales. Now let me turn to the Asia region. Operating earnings in the Asia region were $275 million, up 61% from $171 million in the prior year quarter and up 25% after adjusting for onetime items, most notably $44 million of higher claims and expenses in the second quarter of 2011 as a result of the earthquake and tsunami in Japan. We are seeing solid growth in new business in Japan, as well as strong persistency gains year-over-year, particularly for accident and health products. Premiums, fees and other revenues in Asia were $2.3 billion, up 6% from the prior year quarter on both the reported and constant rate basis. Growth was driven by new business in Japan and persistency gains in both Japan and Korea. In addition, total sales for the region grew 13%, driven by Japan, which was up 33% year-over-year, as well as strong growth in China and Australia. For the region, key product drivers were life and accident and health sales in Japan and A&H sales in China, as well as group sales in Australia. In EMEA, operating earnings were $82 million, up 28% from the second quarter of 2011 and up 46% on a constant rate basis. This increase was due to expense improvements, business growth in several countries and the benefit of a onetime item in the quarter that I discussed earlier. EMEA premiums, fees and other revenues were $815 million, down 4% versus the prior year quarter on a reported basis and up 3% on a constant rate basis. Finally, EMEA sales grew 13% compared to the second quarter of 2011, driven by Turkey, credit life sales in Russia and strong sales in our Gulf countries. This is a solid result despite the challenging market conditions across the region. Now let me turn to investments. Let's start with our realized investment gains and losses. In the second quarter, we had after-tax investment portfolio net gains of $4 million. Included in this net gain were impairments of $36 million after-tax. We expect investment portfolio net losses to remain relatively modest for the remainder of the year. Moving to our commercial mortgage holdings. This portfolio continues to perform well. As of June 30, our valuation allowance was $300 million, down from $368 million at the end of the first quarter. The loan-to-value ratio of our portfolio improved again this quarter to 59% from 60% as valuations continue to improve in the markets where we invest. Additionally, as of June 30, there were no delinquent loans in the portfolio and no losses recorded during the quarter on this $41 billion portfolio. Finally, with respect to our derivatives portfolio, we had after-tax gains of $1.3 billion that were driven primarily by lower interest rates and the impact of MetLife's credit spreads. As a reminder, derivative gains or losses related to MetLife's credit spreads do not have an economic impact on the company. Now let me discuss the balance sheet and capital position. Cash and liquid assets at the holding companies at June 30 totaled approximately $5.3 billion, which is on track with our 2012 guidance. This includes a $1.5 billion residual capital remittance from our Japan operation in May as it converted from a branch to a subsidiary, offset by the deployment of $397 million as we repaid senior debt that matured in June. Our Japan solvency margin ratio on the new basis was 847% as of March 31, 2012, and well above our target ratio of 600%. Due to accounting rules, this included the effect of the plan residual capital remittance, which was largely offset by a surplus relief transaction that occurred in the first quarter. Next, I would like to provide you with an update on our U.S. stat earnings and capital position. Our preliminary second quarter 2012 statutory operating earnings and net income for our domestic insurance companies were approximately $230 million and $630 million, respectively. The results were impacted by higher reserves related to the market performance in the quarter. While reserve adjustments go through the income statement, the hedges in our derivatives portfolio do not go through the income statement but instead are reflected in unrealized gains. Therefore, our total adjusted capital, or TAC, increased by $2.1 billion in the quarter, primarily due to unrealized gains on derivatives and other invested assets, and now stands at approximately $30 billion as of June 30. For the first 6 months of 2012, statutory operating earnings and statutory net income were approximately $1.7 billion and $1.9 billion, respectively. In conclusion, MetLife had another very good quarter. Our margins remain strong as we continue to focus on generating profitable growth through pricing, underwriting, expense and investment discipline. As a result, we have been able to grow earnings, maintain a strong balance sheet and capital position in a very challenging environment. And with that, I'll turn it back to the operator so we can take your questions.
Operator: [Operator Instructions] Our first question today comes from the line of Suneet Kamath from UBS.
Suneet L. Kamath - UBS Investment Bank, Research Division: Question, I guess, for Steve. On the capital, I appreciate that you can't really talk about what the Fed and the FDIC might do, but this is a management team that's always been sort of planning for contingencies. And as we think about the capital that's building here, I think you're pretty much on track as you said in terms of where you're going to be at the end of the year. If you can't return capital to shareholders, what is Plan B in terms of redeploying that capital? I mean, does M&A all of a sudden become a lot more compelling? And do you think there's opportunities out there or anything in the pension transfer market? I mean, just kind of get a sense of what's going to happen to this capital that's clearly building and is not needed for your core business right now?
Steven A. Kandarian: I think it's premature for me to say that we'll do one thing or another. We're still working hard to de-bank and be able to take capital actions. In terms of M&A, I wouldn't say that if we have interim period where we can't return capital or raise our dividend that, that somehow changes our analysis around whether we should buy or not buy a company that's for sale at some price. So I would still look at it as -- it needs to be accretive to earnings. We're not going to let our standards slip based upon our inability in the short term to return capital to our shareholders above the current levels of our dividend.
Suneet L. Kamath - UBS Investment Bank, Research Division: That's great. But is there anything out there that you're seeing versus, perhaps, the last time you spoke to us in terms of M&A opportunities? Or is it pretty much the same?
Steven A. Kandarian: As you know, we look at most anything that is in our general scope of businesses we're in currently. And I'm sure you're aware there are number of properties today for sale. I anticipate there'll be a number of other properties available for sale in the coming months and years as well, particularly in light of capital rules in Europe and elsewhere. So we're remaining disciplined. I think MetLife has proven over the years that we don't get caught up in the frenzy of the moment in terms of buying properties. And I've said before that we're not going to adjust our standards around what is a good transaction or not a good transaction, either strategically or in terms of pricing of a deal based upon what the competition is doing. We're going to remain disciplined, and we're confident that we can, over time, make appropriate acquisitions at prices that make sense for our shareholders.
Suneet L. Kamath - UBS Investment Bank, Research Division: Great. And then my follow-up question or second question is for Bill Wheeler. Obviously, the underwriting results in the Americas were strong. I think we're seeing some mixed results from some of your peers. Can you just talk about what you're seeing in terms of pricing, particularly in some of the group insurance lines and if you think that kind of what you're seeing in the market is truly reflective of the current interest rate environment or are people sort of pricing based on an expectation that eventually rates will rise? Just any color there would be helpful.
William J. Wheeler: Sure. Well, you kind of mixed 2 ideas there. In terms of sort of group underwriting, I would say that the environment is clearly better. And there are number of people, I think, who were probably too aggressive. I think they're -- it's caught up with them and their results. And so I think they're showing a lot more discipline now, and that's just good for us. And I think the other thing, too, obviously, is that our underwriting discipline over the last couple of years, the contrast is pretty stark with some of our peers. So I think that's good. In terms of interest rates and how that might be influencing pricing, we've seen yet another kind of dip here in interest rates from the 10-year Treasuries sort of the 2-ish range down to 1.5. I think that I'm not sure everybody's caught up yet with that reality in terms of their pricing. And so I would guess you're going to see more pricing adjustments coming from the industry because of it. I think when interest rates get this low, obviously, that really starts to pressure ROIs, product sales. But it takes a little bit of time, I think, for pricing to adjust. And I'm sure some people probably think that, "Gee, I'll just wait and I'm sure it will get better. How could it possibly get lower?" But I think people have been making -- saying that line for quite a while, and now it's not come true. So we view this as an opportunity, obviously, to change prices if we need to in certain areas. And we've been pretty -- pricing pretty aggressively in places like UL. And obviously, the variable annuity business for quite some time now. And that's had an effect on our sales levels there, but I think that makes good sense to do.
Operator: And we do have a question from the line of John Nadel with Sterne Agee.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: I was hoping -- maybe for Bill. I was hoping we could revisit the slide from your Investor Day and get a sense for how things maybe have or haven't changed given the first half of the year results. And the slide I'm referring to is the one that showed sort of 3 different categories of return on equity with a bunch of different businesses categorized in 15% or greater, 10% to 15% and then under 10%, and in particular, focus on the group disability and the annuity business, both of which were under 10%. I'm wondering if there's been any change there.
William J. Wheeler: I think with regard to the annuity business, the answer is probably no. But our new product sales ROIs in this quarter, even with relatively low interest rates, we calculate our ROI to be about high-13s as an average for the quarter. Probably by the end of the quarter, given where interest rates had moved to, it would probably move to something more like 13%. But we're changing some more of our features on our VAs. We're changing, altering the dollar-for-dollar feature, which I think will improve the ROI in the out quarters. So it's a big block. So it's hard to move the overall ROE there. But new product pricing is good. Secondly, with regard to disability, our book is really starting to turn. And you can see that. In terms of our underwriting results and the profitability of it, again, this is in pretty stark contrast to most of our peers in the group disability business who -- and I'm hard-pressed to actually explain why, but our book is different than theirs. And if you've been aggressive, I think you're getting punished for it. But incidence rates are down. Claim closure rates are still elevated. And so we're -- so underwriting isn't yet where it should be or could be, we think, in the future. But clearly, the ROE of that book is improving.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: And Bill, just as a quick follow-up on that, I mean, in the group disability business, what does -- how do we think about 100 basis points of loss ratio improvement there? How much does that move the ROE, roughly?
William J. Wheeler: I'm not sure off the top of my head. Crudely, something like 1 point.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Okay. And then separately, I guess a question for Eric. Just thinking about Asia and EMEA, those are the 2 other primary segments where I don't think we really have any strong or any real idea what the ROEs are today. Can you give us some sense?
Eric T. Steigerwalt: That's an interesting question, John. We have not been giving any returns out on the segments, as you know. We've been working through our economic capital that is associated with how we allocate equity. The returns, I would say, in both of those operations are quite good, but I'm not going to give out a number.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Okay. And -- understood. Maybe some further disclosure going down the road. Last one, just a quick one, given the severity of drought conditions, is there any reason we should be thinking about potential losses on the agricultural mortgage portfolio?
Steven J. Goulart: John, it's Steve Goulart. The answer is no. I mean, we've obviously been following that closely in our portfolio, but we don't think it would have any material impact. And also remember, an advent in that market has been crop insurance over the last few years. So most of our borrowers are insured through their crop insurance programs as well. But we don't think it will have any material impact on us.
Operator: [Audio Gap] Bank of America.
Unknown Analyst: I think this question is for Steve Kandarian. There is a debate about whether GAAP or statutory will be the basis for regulation of insurance companies if they are designated nonbank SIFIs. And I'm just wondering, is it reasonable to assume that the bank capital model framework that underpins the CCAR analysis would be a workable model for life insurers as long as there are revisions to how separate accounts are treated, the capital charges are designed to appropriately reflect the risk of corporates and just that there's generally a clear understanding that derivatives are used exclusively to hedge economic risks and approach that can introduce, I guess, what we would call uneconomic outcomes on a GAAP basis from quarter to quarter?
Steven A. Kandarian: So we've said that our feeling is that the RBC framework really makes the most sense in terms of regulating the industry. Obviously, there's improvements that have been made to the RBC framework over a number of years. There could be further improvements made, but we think that's the best way to look at the risks in our industry. If it is decided that insurance companies are deemed as being systemically risky, then the framework will come out of the Federal Reserve. At this point in time, we really don't have a great deal of insight as to how they will sort all that out. If they use more of a bank framework with a modification, we'll have to see the details of that to determine whether or not we think that is an appropriate way to regulate a company like ours. They have made statements on the record out of Washington at the most senior levels of the Fed, the Treasury that a purely banking model would not make sense in terms of regulating the insurance industries. So those are favorable comments from our perspective. But again, the details are going to be the key here, and those details have not been sorted out. They have not been finalized. It's very early days on the details of the regulatory framework, if there is one for us.
Unknown Analyst: Okay. And my follow-up is for Bill Wheeler on the interest rate assumption behind product pricing. Bill, I think you mentioned that VA marginal returns, it sounds like, came down only slightly during the quarter despite a material decline in the 10-year Treasury yield. Did I hear that correctly? And if I did, I mean, I guess that's implying that this product is not nearly as interest-sensitive, maybe, as some people anticipate?
William J. Wheeler: Well, okay. So first, you used the phrase -- word marginal. I just need to correct you. There's nothing -- our -- these are not marginal returns. These are fully allocated, fully costed returns on the product.
Unknown Analyst: I'm sorry, I meant marginal as meaning new business returns.
William J. Wheeler: No, I know. It's just we were good to capture [ph] it. I took the opportunity. Well, look, they're obviously somewhat interest-rate sensitive. But remember now, the underlying guarantees and the minimum interest rates for annuitization are still very low. I think the minimum annuitization right now is 1% in the guarantees. So even though, yes, they came down, there's still a cushion there, obviously. And there's a lot of parts of the economics of these products. It isn't all about the guarantee, of course. The base fee itself is very profitable. So sure, there's been -- when I say there's no interest rate sensitivity, a couple of quarters ago or 2 quarters ago, the ROI here was in the 15s or higher. So we have seen it tick down. I'm not real happy with high 13s, but I think given where interest rates are, that's pretty good. So there's been some sensitivity, but the point of it is this is still a product which earns above our cost of capital. And so we think we're still adding value with each sale. And that's the most important thing.
Unknown Analyst: And just one quick one on the life side. If you were to look at the appropriate -- what you would view to be the appropriate pricing of interest-sensitive individual life products, I know that's a broad category, but how much do prices have to change if we were to assume 1.5% 10-year Treasury versus 2.5%? Is that a very significant change given how the products are already designed with the minimums that are in place today?
William J. Wheeler: I think it's a reasonably significant change. We just priced one of our interest-rate sensitive products. One of those interest-rate sensitive products, we raised prices 15%. Okay. Now that was not just in the last -- based on interest rates in the last couple of quarters, but it's, I mean -- but we've -- pricing in the UL category has been moving up aggressively now for a couple of years, and I don't think that's going to stop.
Operator: And we do have a question from the line of Mark Finkelstein from Evercore Partners.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: I guess I'll ask the somewhat obvious follow-up, which is, are there any capital impacts with this lower rate as you look out to 2016, above and beyond what you kind of told us in your interest rate disclosures at this lower rate?
Eric T. Steigerwalt: Mark, it's Eric. So let's just review the bidding on what we did previously. We said that in the last interest rate presentation that Steve referred to, that we would have no stat reserve strengthening but that we expected to have modest actions year after year after year. We said there'd be no GAAP loss recognition in the U.S. We said we'd probably have, let's call it, $400 million to $450 million after-tax impact on DAC mostly occurring in the back end of that 5-year outlook. And we said there's potential pressure on Retirement Products goodwill. So at this point, and I'm just going to make a blanket statement here, anything I say here is going to be subject to what we learn in actual testing, okay, which is beginning, both for CFT, loss recognition, goodwill testing, et cetera, okay? So having said that, I think maybe the change here would be, I feel compelled to say that, modest stat reserves strengthening could be required if rates stay low. For GAAP loss recognition, as we think about it from the point of view of August 1 here, August 2, whatever date this is, we don't see a lot of loss recognition in the near term. But again, we'll have to see what happens as we go through testing. We still don't see, given our current methodology, a big DAC impact in the next couple of years. And I would certainly then finally add that there remains pressure on our goodwill, specifically for the Retirement Products. We're starting goodwill testing now, and we'll have to see where we come out as we get to the end of the year here. So I'm increasing it, using the word modest, but always subject to what we learn as we go through all the various tests.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Okay, that's helpful. Question on Corporate Benefit Funding and I guess more directly on the pension closeout market. Obviously, you saw PRU do a big transaction in the quarter. AIG has talked more constructively about this market. And I'm interested in how you're thinking about, one, the opportunities with pension closeouts; and two, I guess how you're thinking about the opportunity in terms of capital deployment that can be larger transactions, but on the other hand, it also adds significant assets to equity leverage. So if you could just kind of comment on the opportunities and broadly how you're thinking about that business now.
William J. Wheeler: Sure, Mark. I think you framed it out really well. The General Motors transaction, I think it's fair to view that as a bit of a catalyst. I think that's causing other corporate treasurers of large traditional companies with old traditional pension plans to think hard about what they should be doing. And certainly, there's a lot more conversation now than there was pre-GM. My expectation -- but the can of that, of course, is interest rates keep ticking down. And I think that makes pension closeouts more difficult. So there's contrary trend influences there. But I do think you'll see more deals, more big deals, despite the low interest rates. In terms of how we're approaching it, each -- a big pension closeout is a big sort of one-off transaction. It's not unfair to think of it like a big M&A deal. It's a large transfer of assets. So the capital considerations there are significant. And so we, just like an M&A deal or anything else, which is a big capital transaction, have to evaluate that capital that would get allocated to that deal versus other alternatives that are available to the company. We will not do a big closeout just so we can print a big deal, okay? If it doesn't add shareholder value and get us the right kind of returns on our capital, we will not do it. And so that's got to be our discipline. And look, I think our track record about having -- being disciplined about those kind of decisions is pretty good. So that's got to be how we look at it.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Okay. That's helpful. And then finally just a follow-up on annuities. When do you expect the pricing changes that you've announced, including, I guess, changes to the dollar-for-dollar withdrawal benefit to be implemented and would the IRRs on the product at this rate environment be pushed over 500% -- or 15% with those changes?
William J. Wheeler: So the dollar-for-dollar adjustment, I think, it was implemented in August. I think there are other changes we're making. Some of those are occurring this month. So I guess we're in August, so technically I meant some were implemented in July. So I don't think the dollar-for-dollar change, given where interest rates are, will push it back to 15%. But it will push it, I think, closer to 14%.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: But the overall changes, do you get over 15%?
William J. Wheeler: Well, no. The other changes won't necessarily improve the ROI, but they'll -- because they are more about the in-force. So it's the ROI on new sales.
Operator: And we do have a question from the line of Chris Giovanni with Goldman Sachs.
Christopher Giovanni - Goldman Sachs Group Inc., Research Division: Most have been asked. I guess a question for Bill Wheeler on Latin American business. I mean, this is obviously a region that you guys like. I think you want to get bigger here given that you didn't get a lot kind of with the Alico acquisition. But I guess how are you thinking about the opportunity there given the decline in short-term rates, how they've moved noticeably lower? And does that really kind of begin to push consumers to begin to kind of venture closer to the products that you guys are offering in that region?
William J. Wheeler: I think in most of the countries, our interest rates -- the interest rates aren't having, I would say, a big impact on our insurance sales. I think the one area where you see this phenomenon where it's a real trade-off between an insurance product and a bank deposit is in Brazil. And we're not really very much in that where insurance products obviously have a sort of a built-in interest rate. We're not very heavy into that market, and we're certainly not trying to compete with those kinds products. Latin America, the reason Latin America is really attractive to us is it's all about an emerging middle class that are first-time purchasers of life insurance. So life insurance as a percentage of GDP is growing very nicely, and then GDP itself is growing nicely. And there are markets that are developing. Our fastest-growing segments in Latin America right now are in direct marketing, okay, which, obviously, has nothing to do with interest rates, really. It's all about the channel management and driving growth. In general, I would tell you that we really do like Latin America. Obviously, it's a big segment for us. The returns are very good. The growth rates are good. Our top line growth adjusting for currency was 13% this quarter. We have very good management teams down there. They're seasoned. And our market position, we're #1 in 4 different -- 4 of the 6 Latin American countries we participate in. So we're very well positioned. So obviously, it's an area where there will be a lot of emphasis going forward.
Christopher Giovanni - Goldman Sachs Group Inc., Research Division: Okay. And then maybe a question for Steve Goulart. Given the challenge to find yield, and I guess coupled with the challenge to deploy, some of the capital that you guys have, curious if you're at all enticed by the yields in Europe and if you'd consider putting more money to work there to offset some of the low rates -- low new money rates you guys are seeing?
Steven J. Goulart: Well, I think we've always been a pretty conservative investor. And it's always most important to make sure that we can pay off our liabilities. So we're always looking for relative value propositions, but I don't think we're comfortable with, by and large, what you see in peripheral Europe. Just given our European portfolios though, we continue to invest in Europe, but they tend to be in the safer economies and in very strong corporates.
Operator: And our next question comes from the line of John Hall with Wells Fargo.
John A. Hall - Wells Fargo Securities, LLC, Research Division: In Bill's commentary, he mentioned cost of capital. And I was just wondering, what is it that you consider to be your cost of capital? And in that construct, what are you using in considering your beta as right now?
William J. Wheeler: That's a very interesting question. So maybe I'll talk a little bit. Maybe I'll let Mr. Kandarian -- because this is obviously -- this a big focus inside MetLife right now. So I would just say our cost of capital, I would say, in general, sort of the rule of thumb we're looking at in terms of how we price products is roughly 12%. And that's sort of a blended cost of capital across all products. And that's obviously up over what we -- I would think most people would have said what it was a couple of years ago. So when we price products, if they don't, in our minds, if they don't earn at least 12%, we think we're destroying value. And so that's how -- that's guiding us in our pricing. But in terms of sort of the general philosophy on where we are, I'll let Steve do that.
Steven A. Kandarian: Hi, John. We look at this very closely. We've talked about it internally in terms of not just product pricing but overall strategy at MetLife. And say our -- if you kind of impute a cost of capital to MetLife's equity right now, it's higher than the 12% number that Bill just referred to, and we believe that is a temporary level of equity capital cost to us. And we have to really look at this in a longer time frame because basically, right now, the markets are very volatile, probably driven by things like low rates, obviously, for our industry, regulatory overhang for larger insurers and so on. And that's driven up the perception in the marketplace about what our beta is. And it certainly is now closer to a 2 beta as opposed to historical norm closer to 1 or 1.1. So as we think about our business, I wouldn't, for example, on the flip side say if our beta drops just hypothetically to below 1, let's say 0.6 or something, that all of a sudden, we're going to print a bunch of business at 8%. We wouldn't think that would be the prudent thing to do longer term. Similarly, if things are spiking up because of near-term volatility out there, we have to kind of look past that at a short timeframe. So Bill gave you the answer about how we're looking at our products right now, but clearly, our cost of capital is higher than historical because our beta is significantly higher than the historical 1.1x that we've seen.
John A. Hall - Wells Fargo Securities, LLC, Research Division: And just sort of a follow-up, and this is going out the plank a little bit. Say MetLife is designated nonbank SIFI. What effect do you think that would have on your cost of capital?
Steven A. Kandarian: John, I think it depends on what the rules look like. And analysts have looked at this both ways and said, "On the positive side, you get the good housekeeping seal of approval of the federal government. You're too big to fail. You're safe to do business with. It could lower your beta is one theory." The flip side is there could be very harsh rules around the regulation and capital requirements, and that can make you unattractive in some ways. That could raise your cost of capital. And 2 of the rules are written. I think it's just we're all speculating as to the ultimate impact. What we have said, certainly, on the record is that we don't think that we really should fall under Dodd-Frank in this regard and should not be designated systemic. But if we are so designated, let's be sure these rules really are appropriate for the risks of our company.
Operator: And our last question of the day comes from the line of Thomas Gallagher with Credit Suisse.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: First question was just on the interest rate impact guidance. Is the reason -- I guess this should be for Eric. Is the reason the incremental drop in rates has essentially minimal impact on EPS for the next 3 years because your initial guide was conservative enough and that it didn't assume much benefit from lowering crediting rates but now you are? Or can you help us get to kind of what's behind those assumptions?
Eric T. Steigerwalt: Look, these are big exercises. So obviously, everything is thought about within a range. And when we went out with that guidance, we thought we had a reasonable range here. And now that we've done a refresh of this, I think it kind of confirms what we thought previously and now just simply adds to that. Now we've got a couple of things going on here. We always thought when we made that presentation last year that we would -- that we not only had room in crediting rates but that we would take advantage of that if rates continue to decline. That's number one. In some of our portfolios, I think we're probably better cash flow matched than anybody externally would actually think. Third, we've got a lot of interest rate protection. We've got all of these floors and swaptions and swaps that we've talked about. Floor income year-over-year is meaningful and could continue to be meaningful depending on if rates stay here or, frankly, even if they went a little bit lower. I guess I'll give you a sense because I've know we've talked about it this publicly. Like in our UL block, 1/3 of that block is at minimum guarantees. So here where we are today, end of the second quarter, 1/3 of the block is at minimum guarantees. I don't know what you would have thought that number was, but that means, obviously, we've got 2/3 to go. It's in the 70% range on the general account annuity blocks. And so putting all of those things together, the impact from where we were to here is minimal.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Okay. Got it. And just 2 quick follow-ups, if I could. Eric, you had mentioned Retirement Products goodwill potentially comes under scrutiny, I guess, at year end. Can you remind us how big that is?
Eric T. Steigerwalt: $1.7 billion.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Okay. And then lastly, we're starting to see some of your competitors in long-term care, obviously, having some pressure because of low rates, and that's just mechanical. But in addition to that, you're also seeing adverse claims trends. I'm curious what you guys are seeing because I think generally you have a newer vintage book. But can you comment at all on what you're seeing on long-term care and sort of the outlook for that business?
Eric T. Steigerwalt: Well, Bill would like to do that one.
William J. Wheeler: I just want to prove I know. Let me start by saying just to remind everyone, we exited the long-term business a couple of years ago. There was a modest tick-up in claims activity this quarter, so underwriting results were down a little bit. But it wasn't very material. In terms of kind of managing the block, I used the word immunized it loosely, but we put in some very long-term interest rate swaps that are in that block to kind of really protect ourselves from just this sort of scenario. So we think we're managing interest rates really well there. That said, it's possible that there might need to be some stat. We might add the stat reserves. We have done that historically, I think you know, not necessarily because we absolutely had to but because we were starting to get close to the line. So we've been making installment payments. So all along the way in terms of long-term care, and I think that's been prudent. And the way that things have played out, it's really prudent. So we're in good shape, I think.
John McCallion: Great. Thank you, everyone, for joining us today. And have a great rest of the day. I'll turn it back to you, Brad.
Operator: And ladies and gentlemen, this conference will be available for replay anytime after 10:00 a.m. Eastern today through August 9 at midnight. You may access the AT&T Teleconference replay system at any time by dialing 1 (800) 475-6701 and entering the access code 226302. International participants may dial (320) 365-3844. That does conclude your conference for today. Thank you for your participation and for using the AT&T Executive Teleconference Service. You may now disconnect.